Operator: Good day and welcome to the Ophthotech Corporation Q3 2013 Earnings Results Conference. Today’s conference is being recorded. At this time I would like to turn the conference over to Mr. Bruce Peacock. Please go ahead, sir.
Bruce Peacock: Thanks Alicia. Good morning everyone and thank you for joining Ophthotech’s third quarter 2013 earnings conference call. Ophthotech started trading on the NASDAQ Global Select Market. Trading under ticker symbol OPHT on September 25, 2013 and this is our earnings call as a public company. Before we get started, please be reminded that this conference call contains estimates and forward-looking statements that represents the company’s view as of today November 13, 2013. Ophthotech disclaims any obligation to update or revise these statements to reflect future events or circumstances. You should not place undue reliance on these forward-looking statements, because they involve known and unknown risks and uncertainties and other factors that are in some cases beyond our control. Please refer today's press release in Ophthotech's filings with the SEC for information concerning important factors that could cause actual results to differ materially from those expressed or implied by such statements. Our third quarter earnings release is available on the Investor Relations page of our corporate website that's http://investors.ophthotech.com. Our 10-Q for the third quarter will be available on our website following this call. An audio replay of the call will be also available on the company's website starting two hours after the end of this conference call. I will now turn the call over to Dr. Guyer.
David Guyer: Thank you, Bruce. I would like to welcome everyone to Ophthotech's first earnings call. I will begin with a review of our recent highlights and progress for Ophthotech. I will then turn the call over to Bruce to review our results for the quarter. And then Samir and I will provide a product development program update. We'll then fill some questions. Since, this is our first earnings call and some of you might not be completely familiar with us, I will begin by speaking in general terms about our company and what we do. Ophthotech is a biopharmaceutical company specializing in the development of novel therapeutics to treat diseases of the eye. After a very successful Phase 2b trial, we have initiated a pivotal Phase 3 clinical program for our product candidate Fovista an anti-platelet-derived growth factor, PDGF therapy, which we are developing for use in combination with anti-vascular endothelial growth factor or VEGF drugs for the treatment of wet age-related macular degeneration. We also have another compound in our pipeline called ARC1905, a compliment inhibitor for AMD that we are planning to advance in future clinical studies. We recently completed a very successful IPO on the NASDAQ Global Select Market which priced on September 24th and began trading the following day. We're able to raise approximately $192 million in gross proceeds making us one of the year’s largest IPOs in the biotechnology sector. The majority of these IPO proceeds will be used to fund our pivotal Phase 3 clinical program for Fovista which is being studied for the treatment of newly diagnosed patients with wet macular degeneration. The program consist of three clinical trials, evaluating of the safety and efficacy of Fovista administered with various anti-VEGF therapies. We have already started enrolling patients in United States in the two trials with Lucentis as the anti-VEGF agent and the third trial with Avastin or Eylea as the anti-VEGF agent is scheduled for initiation in the United States in the first quarter of 2014. The three trials are expected to enroll a total of approximately 1,866 patients at approximately 225 centers worldwide. Outside of the United States we have filed applications to initiate the two Lucentis combination Phase 3 trials in selected countries. We have already received regulatory approvals to initiate these trials in multiple countries. We also recently received further scientific advice from the European Medicines Agency about Fovista and we will provide further information on this later in the call. Importantly we have expanded our management team to advance the global Phase 3 clinical program for Fovista. Richard Beckman, M.D, ex-Alcon and Allergen has joined Opthotech as Chief Medical Officer, Doug Brooks is ex-ITEK (inaudible) is Vice President of Manufacturing Development, Kathy Galante [ex-OSI] is Vice President of Investor Relations, Douglas Kollmorgen, ex-ITEK and Abbott as Senior Vice President of Quality Assurance, Jeffrey Nau ex-Genetech as Vice President of Clinical and Medical Affairs and Barbara Wood ex-OSI as Senior Vice President and General Counsel. Our new senior employees add approximately an additional of 140 years of pharmaceutical industry experience to our team and most of them have been involved specifically in the development of Ophthalmology products. We couldn’t have been more pleased to add such a collection of highly intelligent, talented and skilled people as we continue to move forward with our development plans. I know that they will add a great deal of value to our company. At this point I would like to turn the call back over to Bruce who will present our financial results for the third quarter.
Bruce Peacock: Thanks David and good morning everyone. Operating expenses for the quarter ended September 30, 2013 were $15.3 million with $11.1 million attributable to research and development. This compares to operating expenses of $3.9 million and research and development expenses of $1.6 million for the same period last year. The primary reason for the increase in spend was the manufacturing of Fovista for our Phase 3 trials, milestone payments related to the initiation of the Fovista Phase 3 trials, cost related to then initiating the trials and an increase in general and administrative expenses. The company reported a net loss for the quarter ended September 30, 2013 of $18.4 million or $10.26 per share compared to a net loss of $5.9 million or $4.04 per share for the same period of last year. As of September 30, 2013 the company has $236.1 million in cash and cash equivalents. This reflects the proceeds from the company’s IPO completed in the third quarter. In addition the company has an additional $83.3 million of potential funding available under the company’s royalty purchase and selling agreement with Novo A/S providing $319.4 million of potential available for us. With that I would like to turn the call back over to Dr. Guyer who will provide an update on the Fovista Phase 3 program.
David Guyer: Thank you, Bruce. As you have heard Ophthotech is developing novel therapeutics to treat diseases of the eye with a particular focus on disease at the back of the eye. For those of you who are not aware of the results of previous clinical trials of Fovista, I will provide a very quick recap. In our Phase 2b clinical trial we treated 449 patients with wet AMD with the combination of 1.5 mg of Fovista with an anti-VEGF therapy. The pre-specified primary efficacy endpoint of mean vision change was met with Fovista combination therapy demonstrating statistical significance and superiority compared to anti-VEGF monotherapy and providing a 62% comparative benefit from baseline. No significant safety issues were absorbed for either treatment group in the trial and the relative magnitude of visual benefit continued to increase overtime as the vision curves continued to divert throughout the study. A classic dose response relationship was also observed. The Fovista Phase 3 program consist of three clinical trials to evaluate the safety and efficacy of Fovista and anti-PDGF therapy which Ophthotech is developing for the use in combination with the anti-VEGF drugs for the treatment of wet AMD. Two of the trials will incorporate significant aspects from the design of our Phase 2b trial and will evaluate Fovista in combination with Lucentis. And the other trial will evaluate Fovista in combination with each of Eylea or Avastin. The three trials are planned to enroll a total of approximately 1,866 patients in approximately 225 centers internationally. In the United States, the protocols for the three Fovista Phase 3 clinical trials were submitted to the FDA in July. Enrollment was initiated in the United States in August in the two Lucentis combination trials and the third trial is targeted for initiation in the United States in the first quarter of 2014. Outside of the United States and particularly in Europe I expect as most of you know the regulatory process has multiple parts. One part is to submit application seeking to initiate clinical trials with the regulatory agencies in individual countries. We have initiated this process in selected ex-US countries by filing application seeking to initiate Phase 3 clinical trials evaluating Fovista in combination with Lucentis and have received regulatory approvals to initiate these trials in multiple European and other ex-US countries. Another part of the process involves the centralized procedure with the European Medicines Agency or the EMA. We have sought the advice of the EMA on our Phase 3 program and our plan for regulatory submission for our Phase 3 clinical studies are as successful. We believe that we have made significant progress in resolving multiple issues and plan to continue discussing the remaining open items with the EMA via ongoing dialog. Samir will now walk you through the key points of the advice that we have so far received.
Samir Patel: Thank you, David and good morning. In September, we received preliminary feedback from the Scientific Advice Working Party of the EMA regarding the Phase 3 program for Fovista with additional feedback recently from the EMA's Committee for Medicinal Products for Human Use with the acronym CHMP. The CHMP provided non-binding scientific advice in a letter which we consider generally favorable. The key points include; first, the panned primary endpoint for each of the planned Fovista Phase 3 clinical trials, the mean change in best corrected visual acuity from baseline was found to be acceptable. Secondly, it was confirmed that carcinogenicity studies are not needed. Third, CHMP agreed that the non-clinical package for Fovista and Lucentis combination therapy is supported. Fourth, we were advised that consideration should be given to toxicology studies with Fovista in combination with Eylea and Avastin, because we had no data for Fovista when administered in combination with either Eylea or Avastin. Ophthotech believes that pre-existing and additional preclinical and/or clinical data that we will be collecting prior to the start in Europe of the Fovista and Eylea and Avastin Phase 3 trial will be sufficient. Fifth, CHMP stated that “the safety of the timing of anti-VEGF and Fovista injections in the Phase 3 studies for Avastin and Eylea should be justified by the applicant prior to the start of the studies”. This statement relates to the hypothetical potential that Eylea and Avastin may have different retinal penetration rates and affect the retinal sensitivity to Fovista administration. CHMP has stated that the evidence in literature and preclinical studies that we have provided them were “reassuring”. Sixth, with respect to Avastin use, CHMP indicated that “maybe required” to specify the licensed anti-VEGF agents that were studied in combination with Fovista rather than receiving a broad anti-VEGF inhibitor label. The [intravascular] route of Avastin administration is unlicensed in the EU and then Avastin inclusive broad label “might be regarded as a promotion of unlicensed use”. This comment is reasonable in Ophthotech’s opinion and not unexpected. Seventh, a letter stated that studying treatment naïve patient is acceptable and will be reflected in the label. Again this is expected typically anti-VEGF trials have used naïve patients for approval and so we would expect similar labels. Eight, given the diversions between the labels currently granted in the US and the EU for Lucentis and neovascular AMD, the letter noted that “CHMP considers that the proposed treatment regimens in the Phase 3 trials of Fovista in combination with Lucentis whilst informative for clinical practice in the United States will be of limited value in determining the effectiveness of Fovista as adjunctive therapy with Lucentis in the EU”. Again this is due to the different labels currently granted in the US and the EU for Lucentis in neovascular AMD. The US label recommends ongoing monthly injections whereas the EU label recommends treatment on a [peer-end] basis after the first three months. The CHMP advice that “there will be a requirement for further data to bridge the results from the proposed Phase 3 studies to the use of Fovista” as an adjunct to the license regimen of Lucentis. While we believe that a reduced dosing schedule is important for patients and physicians and is consistent with Fovista’s anti-PDGF mechanism of action. In fact it will be an important commercial advantage for us if future studies show that Fovista combination therapy decreases the number of anti-VEGF treatment in addition to increasing efficacy as it has demonstrated in our Phase 2b trial. We have already incorporated a design to address its reduction of treatment burden issue in the second year of the planned Phase 3 trials and our aligned with the EU concept of dose reduction following attainment of maximal visual efficacy. However the regimen in our trial does not mirror that of the labeled EU treatment regimen for monotherapy to Lucentis. As we will be discussing with the CHMP, there is a very strong rationale, scientific rationale that the reduced dosing schedule suggested and consistent with EU label for Lucentis would not allow Fovista combination therapy to maximize visual benefits for patients due to Fovista's unique mechanism of action and continued increasing efficacy overtime. Fovista combination therapy, unlike anti-VEGF monotherapy shows continued relative efficacy and divergence of visual acuity curves at six months in our Phase 2b trial. In order to maximize vision for patients, we must first determine when the maximum Fovista combination efficacy occurred by using a fixed monthly dosing schedule before we can know the correct time period to initiate dosing reduction. Anti-VEGF therapy peaks in general at three months and thus three months is where the EU reduced dosing starts in the EU label. Since Fovista has a different mechanism of action than anti-VEGF drugs, it is unexpected that the optimal time for reduced dosing would occur at a time different from that of anti-VEGF. In our opinion, year two is the appropriate time to study dose reduction. The EU dosing regimen in its label will now allow Fovista's maximal potential relative to monotherapy Lucentis to be realized and allow maximum benefit for patients. We will discuss with the CHMP the scientific rationale for dose reductions in the second year of our trials as opposed to an earlier time point when Fovista combination therapy is still showing additional efficacy. Eight, the CHMP also commented that we should consider the Eylea dosing regimen used in the label approved in the EU. We have previously stated that we were considering that and now plan to dose Eylea in our study at every 8 weeks after the doses consistent with EU request. So we believe that we are in agreement here. In summary we have made significant progress in resolving multiple issues with the EMA and plan to continue discussing the remaining items via an ongoing dialog. I will turn the call back over to David who will discuss the projected timeline.
David Guyer: As Samir described.
Operator: This is the operator. So you are still might be on mute, we cannot hear you.
David Guyer : As Samir described we continue to make good progress with our ongoing with the EU. We believe that dose reduction should occur in year two of our trial to potentially maximize the visual benefit for patients. If however, we do determine to conduct a bridging trial for the EU we would not expect it to have any material effect on our projected timeline to completion of the Phase III program and approval. Further discussions with the CHMP will determine the appropriate path forward. But we believe that we have multiple options with minimal timeline change if any. The company is also assessing the estimated cost of any additional studies if any that it may determine to conduct the company believes that existing cash and cash equivalents and potential funding under the company’s royalty purchase and sale agreement with Novo AS should be sufficient to cover any reasonable additional cost if any are needed beyond those previously estimated to obtain initial top line data on time from our Phase 3 program for Fovista. The two Fovista, Lucentis Phase 3 trials are presently recruiting well. We expect U.S. sites to be ready to enroll in our Fovista and Avastin, Eylea trial in the first quarter of 2014. The company does not expect that any adjustments, if any to the Fovista development plan reflecting the CHMP input will affect the overall timing to obtain initial top line data from the Fovista Phase 3 program, which the company still continues to expect to report in 2016. If the results are favorable, the company plans to submit applications from marketing approval for Fovista in both United States and the European Union before the end of 2016, also as previously stated. Ophthotech is also developing ARC1905, a chemically synthesized aptamer which targets complement factor C5, a central component of the complement cascade that is believed to be involved in the development of AMD. We have initiated the process to begin manufacturers supplies for clinical trials and we are actively preparing for initiation of clinical trials and AMD. We will provide an update on this exciting program in the future call. I will now turn the call over to the operator, so we can open up the lines for any questions. 
Operator: Thank you sir. (Operator Instructions). We'll go first to Geoff Meacham of JP Morgan. 
Unidentified Analyst : Hello guys. Can you hear me?
Bruce Peacock: Yes. We can hear you Geoff?
Unidentified Analyst : This is Carter on for Geoff. Congratulations on the eventful quarter. First question is given all the new data today that you’ve given out what specifically are the beginning steps to enrolling EU patients, is it really just the completion of the toxicity studies and the safety and timing of the anti-VEGF injections with Fovista or is it really just that second year issue?
Samir Patel: Sure and this is Samir. Hi, Geoff. So the process of starting the EU trial as David stated earlier is really predicated on the standard applications that we're doing at the national country levels. That process has been ongoing and we don’t believe that the timing is going to be affective in anyway based on the initial interactions that we've had.
Unidentified Analyst : Okay. And then my follow-up question is in the past you’d mentioned specifically potentially going into some of the smaller indications with Fovista, you talked about anti-VEGF resistant populations on people window. If today’s news in anyway change your timing or previous comments in those regard?
David Guyer: No those remain on track. We said that we would be initiating those trials that we believe will expand the Fovista franchise initiating them in 2014 with data in 2015 so those remain on track.
Unidentified Analyst: Thank you.
Operator: We’ll go next to David Friedman of Morgan Stanley.
David Friedman - Morgan Stanley: Hi, thanks for taking the question. I was just wondering if you could describe conceptually what a bridging study would look like from your currently design in Lucentis Phase 3 trials to a sort of a trial that adopts the EU labels. Is it a head-to-head with different dosing regimens in each arm or what might that look like and how long do you think that trial would have to be? 
Samir Patel: Sure, David, so this is Samir Patel. So I think when we talk about bridging study it’s important to realize that conceptually as this is an ongoing dialogue with CHMP. Our current trails actually corporate the concept of reduction of treatment burden after maximization of visual efficacy which is really consistent with the underlying concept that the EU label currently has. So the ongoing discussions will certainly be directed towards bridging that gap and coming to a mutual understanding that it in essence is achieving the very concept underling the EU label.
, :
David Guyer : Yeah. And David I will add to that, as you know discussions with regulatory agencies are always similar to ongoing process where you kind of give me where we are at time point. We believe in giving you complete details. We expect and are hopeful because of the scientific rational that we described that it makes sense to first maximize, Fovista benefit show that and then we are in complete alignment that reduction of dosing should be looked at them. And we already have that in our trial as we said a year or two. So I think while we have multiple options, we are jumping again to talk about our bridge, we wanted to mention with that certainly was a possibility, but we are hopeful that we will through continued dialogue be able to get on common ground since we do agree with dose reduction. However we mentioned that because if for some reason we do not, we believe that relatively simple bridge could enhance the data and this would be relatively simple trial that would not affect the timeline in anyway nor be of any cause that would be out of our budget. So again very important, no one has made a decision to do a bridge, but we believe the good news is that’s the backup plan that could work without affecting the timeline or cost significantly that we have, but our first line approach for now is to have continued dialogue and get on the same page because we do agree with dose reduction, just at what point should we do it is the question.
David Friedman - Morgan Stanley: Got it.
Samir Patel: And David this is Samir. I think it’s also important to realize that if one examines the current EU label that there is tremendous amount of flexibility in terms of the interpretation of that label and as a result there is a great deal of heterogeneity and flexibility in potential designs that one could do if one had to do in order to demonstrate treatment reduction.
David Friedman - Morgan Stanley: Yeah, thanks.
Operator: We’ll go next to Joseph Schwartz of Leerink. 
Joseph Schwartz - Leerink: Good morning. Thank you. 
Kath Galante: We can’t hear you. Can you speak up please?
Joseph Schwartz - Leerink: Indicate with the rest of the street as far as when you might be able to reach full alignment with the EMEA on your development plants?
David Guyer : It’s an ongoing process and it will evolve multiple conversations I think to near-term event that will not affect the timing of our trials or recruitment or data as expected in 2016. So we’ll continue the conversation back and forth we believe we’ll have resolution in the near-term but importantly the trials will go on on-track and data on-track as we last mentioned.
Joseph Schwartz - Leerink: Okay. And then can you tell us what prompted the EMEA’s focus on toxicology issues, was this a surprise to you? Do they see anything in animals or of any findings in particular?
Samir Patel: Hi this is Samir. So no that there were no issues from any safety perspective I think this is standard process that just to be clear we have used very similar approach in the U.S. submission as well? And so I think this is not based on any data that indicates any sort of issues of any safety.
Joseph Schwartz - Leerink: Okay great. Thanks for taking my questions.
Operator: (Operator Instructions) We’ll go next to Adnan Butt of RBC Capital Markets. 
Adnan Butt - RBC Capital Markets: Hi good morning everyone. Thanks for taking my question. I had a protocol clarification question if you can get there please. Are there any differences in U.S. in EU protocols at this time? The way Fovista will be given in combination with Eylea and Lucentis or will they be uniform in terms of how Fovista has gotten? Thanks.
Samir Patel: At this time we don’t anticipate any difference between the two geographies with respect to the trial design.
Adnan Butt - RBC Capital Markets: Okay. Thank you 
Operator: (Operator Instructions) We'll go next to Stephen Willey of Stifel. 
Stephen Willey - Stifel : Hi, good morning and thanks for taking my question. Can you just provide a little bit more color around the preclinical toxicity data that you have in tolerance of Avastin and Eylea that you think will be sufficient for doing that?
Samir Patel: Hi, this is Samir. Hi Stephen. So I don't think, I don't believe that we can comment on any specific data, but I think suffice to state as we have stated before, we have no reason to belief than any safety issues would occur when Fovista is administered in combination with any of the anti-VEGF agents. 
Stephen Willey - Stifel: Okay. And then with respect to the differences in retinal penetration rates of CHMP products, how much data is out there with respect to the differences there, with respect to three VEGF antibody agent, is there really a meaningful difference between each agent? And then there the potential for you to kind of run conduct studies in the preclinical setting to kind of prove that up?
Samir Patel: So, Stephen, it's Samir again. I think it's important to clarify that the EMEA's question was based on theoretical reasons that because the other anti-VEGF agents by size are larger than Lucentis that they may theoretically have different penetration rates. Yes, there are data out there, which state that is not the case, we provided that and they found that to be a ‘reassuring’ so that’s the level of discussion that we've had. 
Stephen Willey - Stifel: Can you just remind us if you’re capping the percentage of patients that are obviously either Avastin or Eylea in the current Phase 3 studies?
David Guyer: Yeah. There is a 1:1 randomization to Avastin, Eylea both in the treatment group and control group. So yes it is highly controlled and stratified. 
Stephen Willey - Stifel: Okay. Thanks a lot guys.
Kath Galante: Operator, are there anymore question?
Operator: We have no further questions. 
Kath Galante: We’ll turn it over to Dr. Guyer for closing remarks.
David Guyer : Great. Well thank you all very much for your attention and we look forward to discussing our program with Fovista and anti-complements in the near future. Thank you.
Kath Galante: Thank you.